Winston Cheng: Good morning, and welcome to Seatrium's First Half 2025 Results Briefing. I'm Winston Cheng from the Investor Relations and Corporate Communications team. With me today is our Chief Executive Officer, Mr. Chris Ong, and our Chief Financial Officer, Dr. Stephen Lu. We'll kick off today's briefing with the CEO's address, followed by the CFO's financial review and the CEO's take on priorities and outlook for the company. At the conclusion of the briefing, we will have ample time for questions and answers. And with that, let me turn the presentation over to Mr. Chris Ong.
Leng Yeow Ong: Good morning, and thank you for joining us today for Seatrium Group's first half 2025 Results Briefing. Before we dive into the numbers, let me take a moment to reflect on the broader industry landscape. The first half of 2025 has tested the resilience of global markets. Trade tensions and geopolitical uncertainties have postponed investment decisions, creating headwinds across maritime trade and in offshore development. Yet amid these challenges, there are reasons for cautious optimism. The oil and gas sector remains active and while offshore wind currently face headwinds, there's continued momentum in Asia Pacific and Europe. Crucially, Seatrium continues to benefit from a diversified and resilient order book that extends through to 2031. This breadth across geographies and segments not only strengthens our revenue visibility but also helps buffer the impact of short-term volatility. As we navigate this evolving environment, our path towards our 2028 targets is guided by a purposeful set of strategic priorities, delivering operational excellence steadfast financial discipline, deepening customer partnerships and positioning Seatrium for sustainable long- term growth. Our first half performance reflects this steady trajectory and disciplined execution of our strategy. With that context in mind, let's take a closer look at the key performance highlights for the first half of 2025. First, I'm pleased to share that we delivered a stronger financial performance despite the volatile macro environment. We expanded our gross margin and improved our net profit, clear signs that our disciplined approach and operational resilience are paying off. Second, we remain laser focused on project execution safety and quality, core pillars of our 1 Seatrium global delivery model. We currently have 25 projects underway all progressing steadily against key milestones. In the first half of 2025, we successfully delivered 2 FPSO integration projects and completed 101 repairs and upgrades. This includes a world-first full-scale turnkey carbon capture and storage retrofit. That's a major milestone not just for us, but for the industry. And third, we continue to build momentum on commercial front. Our multipronged strategy and proven execution help us secure new wins and pursue a healthy pipeline of opportunities. Notably, we mark our entry into Japan's offshore wind market with a heavily lift vessel order. We also signed an MOU for BP for Tiber, a second floating production unit and secured 2 FSRU conversions. These achievements reflect the strength of our integrated model, the trust of our partners and dedication of our people across the globe. Turning to our financial performance for the first half of 2025. We delivered strong top line growth with revenue rising 34% to $5.4 billion, from $4 billion in the same period last year. This reflects our continued focus on disciplined project execution and delivering on our commitments to clients. Net profit came in at $144 million, marking a remarkable 301% increase from $36 million a year ago. This significant improvement underscores the impact of our strategic focus and operational efficiency. We also saw a meaningful improvement in margins driven by a shift towards higher-margin projects and enhanced cost management. This translated into a 31% increase in EBITDA, reaching 407 million compared to $311 million in first half 2024. Our return on equity improved by 340 basis points to 4.5% and we strengthened our balance sheet, bringing net debt to EBITDA down to 1x from 2.9x previously. As of end June 2025, our net order book stood at $18.6 billion, with $6.3 billion of that anchored in renewables and cleaner energy solutions. This reflects our continued momentum in energy transition space and commitment to building a more sustainable future. The oil and gas segment continues to be a key growth engine for Seatrium, underpinned by focused execution of a robust order book. At the heart of this momentum are our FPSO series built and integration programs alongside the floating production units for Shell and BP. For Petrobras, we recently celebrated the sale away of FPSO P-78, the first of 6 in the series. The lessons learned from his execution, particularly in engineering and workflow efficiencies are now being applied to P-80, P-82 and P-83. With all 3 FPSO progressing in parallel by year-end, we will see a stronger capacity utilization and improved execution rhythm at Temasek [indiscernible]. In addition, topside module fabrication for MODEC'S FPSO Raya destined for Brazil is on track for delivery in the second half of 2025. Shifting to Guyana. This market continues to expand with our fourth FPSO delivery, the One Guyana. Building on this track record, we are advancing module integration for the fifth and the sixth FPSO through operators, SBM and MODEC for the end client ExxonMobil. That being said, we have been responsible for topside module integration for all of the FPSO destined for this market to date. In addition to One Guyana, we also delivered FPSO BW OPEC earlier in the year. With 12 active projects. The oil and gas segment remained strong, supported by rising global energy demand, driven by emerging markets, data center growth and AI. Energy security is also a growing priority amid ongoing geopolitical volatility. Looking ahead, we see a robust pipeline across Brazil. The Middle East and the Gulf of America with opportunities exceeding $19 billion, reflecting both market demand and confidence in Seatrium's capabilities. Offshore wind continues to be a strategic growth area for Seatrium, with 11 active projects and strong momentum across Europe and Asia Pacific. Our revenue for first half 2025 is bolstered by key milestones achieved through our collaboration with Tanin on their 2-gigawatt program, for which we are constructing 3 HVDC offshore converter platform, which are central to Europe's energy transition efforts. Our team is gearing up to deliver a converter platform, Sofia for RWE and the Greater Changhua 2b and 4 substations for [indiscernible]. We are also advancing through major milestones with 2 groundbreaking wind vessels. The [indiscernible] is built for Dominion Energy is nearing sea trials, while Maersk sturgeon has undocked and is entering final outfitting and construction phase, both are industry first and showcase our growing expertise in offshore wind turbine installation vessels. As the energy transition accelerates, offshore wind is becoming a strategic pillar of national energy security and economic policy, particularly in Europe and Asia Pacific. Europe is targeting 187 gigawatt of new wind capacity by 2030, with offshore wind playing a key role. In Asia Pacific, over 250 projects are in development, driven by net 0 goals and government support. This is creating robust demand for HVDC platforms, substations and installation vessels with over $11 billion in potential opportunities. Seatrium is actively engaging with transmission system operators and developers to shape the next wave of offshore wind growth. Our repairs and upgrade business continues to be the counterstone of Seatrium's performance, driven by our commitment to quality, innovation and supporting the maritime industry's transition to cleaner energy. In the first half of 2025, our team completed an impressive 101 projects, each one a reflection of our technical debt and operational excellence. A stand out amongst them was the delivery of our fourth FSRU conversion for Kinetics, on the Karmol LNGT Powership Antarctica, a complex and high-value project that showcases our capabilities in specialized retrofits. Now, while the global shipping market is navigating a slower growth and short-term LNG price volatility, one thing remains clear. Customers continue to choose Seatrium, not because we are the lowest cost option, but because we consistently deliver with certainty, precision and quality. That trust is evident in our recent FSRU conversion wins for Hoegh, Evi and Kinetics, projects that reinforce our leadership in the retrofit space. We are also seeing exciting momentum in maritime decarbonization. In June, we signed a letter of intent with Solvang ASA, a favored customer contract partner to retrofit carbon capture and storage system across their fleet. This builds on successful delivery of the Clipper Aris, and signals growing demand for sustainable solutions. These strategic partnerships provides a steady base load for our yards and strengthen our position as a trusted partner in global energy transition. Beyond our core new builds and conversions. Seatrium is advancing clean energy and decarbonization through innovation, partnerships and regulatory approvals. We are leading in onboard carbon capture, ammonia bunkering and ammonia to power solutions. In carbon capture and storage, we are ready for the growing LCO2 shipping market with proven designs from our subsidiary, LMG Marin. This market opportunity is projected to hit USD 6 billion by early 2030s. In ammonia bunkering, we are leveraging LNG expertise to pioneer next-generation fuel infrastructure and digital innovation like IoT- enabled digital twins and remote operations. We have also completed a successful ammonia to power pilot, validating its feasibility and unlocking new revenue streams in clean energy and bunkering. These efforts reinforce Seatrium's commitment to maritime decarbonization and looks to equip the global energy transition. Before I hand over to our CFO, I want to touch briefly on the decade-long issue of Operation Car Wash. On 30th of July 2025, Seatrium signed a leniency agreement with the public prosecutor office in Brazil, in relation to Operation Car Wash investigation. This morning, we signed an equivalent agreements with the remaining Brazilian authorities. Under the term of this agreement, the company will make a final settlement payment totaling approximately BRL 729 million, which is equivalent to about SGD 168.4 million. On the same day, we also finalized and signed the deferred prosecution agreement with the Singapore authorities. This agreement is subjected to approval by the General Division of the High Court in Singapore. Under the DPA, Seatrium will pay a financial penalty of USD 110 million. Importantly, USD 53 million of payments made to the Brazilian authorities will be credited against this penalty, resulting in a net payment of USD 57 million or approximately SGD 73.3 billion to the Singapore authorities. In line with this, we have reversed SGD 40 million in provisions for the period ending 30th of June 2025. There is no material impact on the group's financial year 2025 earnings or net tangible assets per share. Finally, we are pleased to announce that the Monetary Authority of Singapore and the Commercial Affairs Department have concluded their investigations confirming that no offenses were committed and no action will be taken against Seatrium. This removes a decade-long overhang and we remain firmly committed to the highest standards of governance and integrity with zero tolerance for fraud, biberary and corruption, supported by robust global policies that promote disciplined ethics and compliance. I should now hand over to Stephen, who is having his maiden results briefing as CFO of Seatrium to bring you through the financial updates. Stephen, please?
Hsueh-Jeng Lu: Thank you, Chris. Good morning, everyone. Before diving into the financials, I wanted to take a moment to reaffirm the 3 key levers that we believe underpin our value creation strategy. First, order book growth and resilience. We are capitalizing on the sustained global demand for offshore energy and maritime infrastructure. And so our focus is to convert a strong pipeline into contract wins for high-quality and serious build projects. and to develop a sizable and resilient order book. Second, margin expansion. We expect margins to improve with operational leverage and a greater share of higher-margin projects. In addition, we are also driving executional efficiency, optimizing costs and accelerating automation and digitization initiatives. And third, asset portfolio optimization, 2 years into operating as One Seatrium, we now have greater visibility and integration across the business. This enables us to streamline operations, which improves utilization, monetized noncore assets and, at the same time, deploy capital prudently to enhance asset capabilities. Against these strategic levers, I'm glad to report a much stronger core financial performance for Seatrium in the first half of 2025. Revenue increased to $5.4 billion for first half as we made steady progress against project plans and recognize higher revenue. Our gross margin also doubled from 3.7% in the first half of last year, to 74% in the first half of 2025. Furthermore, we have made meaningful progress in streamlining our G&A expenses over the past year and reduced leverage while lowering our weighted average cost of debt. As a result, net profit rose significantly from SGD 36 million to SGD 144 million in the first half of 2025. Now let me deep dive into a few key areas, starting with our income statement, where I think we have made significant progress. Revenue, as I mentioned, just now increased to $5.4 billion, which is in line with the second half of last year. and 34% higher than the first half of last year. This was driven both by oil and gas and offshore wind solutions as we continue to execute our current projects. Gross margin widened significantly by 370 bps to 7.4% for the period, reflecting strong core performance. This is supported by a favorable mix of higher-margin projects cost savings and higher asset utilization. Other operating income was lower in the first half, mainly due to fewer divestment gains and less favorable FX movement especially due to a weaker U.S. dollar. G&A expenses as a percentage of revenue declined by 120 bps to 3% compared to 4.2% in the first half of 2024 as we benefited from greater operating leverage and cost savings. Net financing costs dropped by 5%, driven by debt repayment, lower financing costs balanced by decreased interest and dividend income. And finally, our net profit saw a significant uplift, rising from $36 million to $144 million in this half. In summary, our core performance improved as a result of revenue growth, margin expansion, cost savings and disciplined execution across the business. Now let's also take a closer look at our revenue. For the first time since merger, we provide a breakdown of our revenue mix to give more clarity on segmental performance. Contribution from oil and gas rose 26% to $3.6 billion, mainly driven by steady execution and progressive revenue recognition. In particular, for the 6 new build Petrobras FPSOs, P-84 and P-85, which actually started work in the second half of last year. Offshore Wind solutions doubled its revenue to $1.1 billion as we made strong progress on our 3 Tanin HVDC projects. And for repairs and upgrades, we completed 101 vessels for the first half of 2025 slightly lower than 133 vessels in the first half of 2024. And as Chris shared earlier, this was mainly due to trade related uncertainties and the general weakness in the LNGC market. The other segment saw revenue growth of 141%, supported by contributions from specialized shipbuilding, sale of rig kits and chartering activities. Moving on to our cash flows. Our operating cash flows have improved significantly versus first half '24, and we remain focused on meeting project milestones to sustain and further strengthen our cash generation. Investing cash flows were driven by CapEx of $32 million and proceeds of $27 million, mainly from asset divestments in the period. Financing cash flows reflected our efforts to return capital to shareholders and deleverage to strengthen our balance sheet, which I'll provide more details in the next slide. In terms of managing our capital structure, our approach continues to be balanced and disciplined. In order to delever and focus on reducing cost of capital. In the first half of 2025, our gross debt reduced by approximately 10% to $2.4 billion as at the 30th June 2025. At the same time, our cost of debt declined from 4.9% at the end of December of 2024 to 4.4% at the end of June 2025, driven by both a lower base rate particularly in Singapore and a reduced margin. Looking ahead, we continue to diversify our funding sources and collaborate with our network of financial institution partners to secure favorable refinancing terms which is supported by our improving credit profile. In terms of liquidity, we maintain a robust position with over $3.5 billion in cash and undrawn facilities providing ample flexibility to support ongoing operations and growth initiatives. Overall, our balance sheet remains very healthy, with a net leverage ratio of 1x and a net gearing of 0.1x as at the end of June 2025. Lastly, I want to give you more color on our order book and pipeline. As at 30th June 2025, our net order book stood at SGD 18.6 billion, comprising of 25 projects with deliveries through to 2031. This gives us revenue visibility for several years. More importantly, as Chris shared earlier, we see over $30 billion of near-term pipeline opportunities from both oil and gas and offshore wind markets, and our commercial teams are actively pursuing them on the ground. I think this positions us well for further growth and value creation for shareholders. I will now hand the time back to Chris, who will wrap up the presentation with the group's key priorities and outlook moving forward.
Leng Yeow Ong: Thank you, Stephen. As we look ahead to the rest of 2025, Seatrium is focused on 3 key priorities that will drive our performance and position us for long-term success. First, we are converting pipeline into secured orders by consistently delivering with excellence and earning the trust of our customers. This is about staying persistent, nurturing customer relationship, responding with agility to evolving requirements and ultimately converting tenders into secured projects. We are actively pursuing a robust pipeline of projects valued at approximately $30 billion in the near term. Second, we're improving margins through series built projects and disciplined execution. By streamlining operations and maintaining cost control, we are enhancing efficiency across the board. And third, we are staying on track to meet our 2028 financial targets. With clear milestones in place, we have demonstrated steady progress and remain committed to delivering stronger returns to our shareholders. As we stay focused on delivering stronger returns and progressing steadily towards our 2028 financial targets, it's important to recognize that the broader forces shaping our path forward, and that the global outlook remains complex. Despite short-term market volatility from rising trade tensions, energy transition and security remains global priorities. Seatrium is well positioned to lead. Our consistent delivery of complex projects across geographies makes us a trusted partner. With strategic focus on offshore oil and gas, wind, maritime upgrades and early moves into carbon capture and new energy, we are ready to capture market momentum. Our resilient model and proven execution continued to drive performance even in uncertain times. Looking ahead, we remain committed to expanding our franchise or series built products drive profitable growth through disciplined execution and enhancing productivity and cost efficiency across the group. Our focus is clear: to deliver long-term value for our customers, partners and shareholders while shaping a more sustainable energy future. Thank you.
Winston Cheng: Thank you, Chris and Stephen. I will now open the floor to questions and answers. We'll first start with those who are attending in person, and then we'll circle back to typed in questions from our online audience. Please raise your hand so that we can pass you the microphone. Do state your name, company and questions. All right. First question from Rahul, HSBC.
Rahul Bhatia: Rahul Bhatia from HSBC. I have 3. First, many thanks for the revenue segmental disclosure that are very helpful. Appreciate if you could give us some guidance on revenue recognition for second half '25. Is 1H a good run rate? Or if you can talk about the revenue recognition from existing order book, that will be great. Second, you mentioned about higher margin projects to drive margin expansion in the future. Could you share which year delivery projects you're referring to here? And if possible, can give us some indication on margin differential today between the high-margin and low-margin projects? Finally, you mentioned about $30 billion of order opportunities. I mean, if we take, say, history as an indicator, can you give us some insights into your historical conversion rates about opportunity translating into orders.
Leng Yeow Ong: Well, thanks, Rahul. We were all looking for you to see where the voice came from. But thanks for the question. The first one is revenue projection. Again, we don't provide projection. But I think the present first half segmental numbers can give you a guide. And that's the reason why we listen to the market, and that's why we provide that for you to have some visibility. Now moving forward, of course, we will be operating and converting our order book. So I think that number is pretty stable, right? For margin expansion, well, there are a few areas that we should be looking at. It's just not about the margin of the project alone. First, we have to understand when we articulated very much earlier on, on our strategy of securing series built projects, number one, that is to drive margin expansion, true lesson learned and through execution excellence, and that is a very powerful tool. The other part is not just only on projects, it's also optimizing our cost structure within Seatrium. Now Seatrium is about 3 years old, and we are still a very young company. When we put the 2 companies together, there's a lot of efficiency that we are looking at. Beyond the cost savings that we actually presented to the market, it is also now about operating efficiency, how is our structure, how is our processes going to help us. And you asked about differential between the margin between the high profit margin projects and the lower profit margin, I think it differs from project to project and also risk factor that have always educated. So it's difficult for us to just give you the 2 numbers. Now on $30 billion opportunities that we are approaching the market, I think this number is a very good indication of how hard our commercial units are working on the ground. Now the historical conversion percentage is very difficult to be used as a proxy to how much we're going to win because each of the tender has its own challenges or opportunities in terms of what we actually look at. And it has very different tender strategies and also customers are very different. So again, I may not have answered your question, it's difficult. But just take it that $30 billion itself, there's no short of pipeline and excitement pertaining to the market that we are chasing.
Hsueh-Jeng Lu: Sorry, Rahul, just add on a little bit on the asset portfolio optimization I think the key here is we need to lower our structural costs, right? And then I think that if you think of it, there's really 3 things we're looking at. One, yards, I mean, you know that we have a crescent yard that is still in the process of being divested. And so when that happens, we will remove the depreciation, the overheads and all that associated with that yard. Secondly, on the equipment on this, especially the major equipment we have in the yard. Over the last 12, 18 months, we have sold floating docks, floating cranes, which we deem unnecessary for our operations. And so we can still maintain operations but without the overheads. And third, if you look at our list of assets that we own, we have vessels, ownership for minority stake to fully owned across the globe. And frankly, some of these assets are noncore to us. And so once we divest them, that will again reduce our overall overheads costs. And so those are the things that we're doing structurally besides the project side and making sure we execute projects well. Rahul, hopefully, it helps.
Winston Cheng: Let's move on to Luis from Citi.
Luis A. Hilado: I had 3 questions. The first one was just wanted to clarify whether the premerger onerous contracts, the U.S. contracts are already all completed in the first half. And as such, we should expect that margin enhancement to proceed in the second half the year as the lower margin contracts are gone? Second question is, in the past, you've talked about the S curve specifically for the newer, larger contracts in 2024. Could you give us some -- could you remind us in terms of when those projects would achieve peak margins? Is it year 2 or 3? And the last question is regarding your 30 billion potential opportunities. When you talk about near term, is that within 12 months, within 6 months, you'll give us some insight there, that would be great.
Leng Yeow Ong: Thanks, Luis. I'll try and Stephen can chip in along the way. The owner's contract, most of it, we are referring it to the projects in the U.S. As in my speech, I've already mentioned that -- the WTIV is on the way out for trials and the Manson dredgers should be completed in the next half. They are in a pretty complete stage. So the team are preparing and testing to make sure that we are able to deliver them. Which means to say again, we should be over and done with sooner than later. I think you will hear some good news, hopefully by -- in the second half. And that, of course, will help us in our GP and EBITDA margins. For the S curve, I think that it's really complex with all the projects running in parallel. But in my speech, I mentioned that by end of the year, we will have 3 P series running in parallel. So even now in this various stages. It has already shown that the team are working well on the ground, together with the HVDC projects that are coming online. So I think probably in the next 6 months to a year, you'll start seeing the projects in very advanced stages. Now on the opportunities, it's whether in near term means 6 months or a year, I really hope that it is 6 months rather than a year. But again, I want to reiterate that we cannot control the FID profile of my customers. That is largely dependent on the FID and signing up on the contract, as I have always articulated. The approach to this is taking our best foot forward our costing data that we have developed over the last few years of operation and also the reputation that Seatrium brings to the market now, having delivering some of the high-impact projects to the various markets, hopefully put us at the front seat. And that is our philosophy, being close to the customer. Exactly how it's being spaced out, that will depend on when the customer pull the trigger.
Winston Cheng: Next up, [ Ryan ].
Unidentified Analyst: I'm Ryan from Morgan Stanley. So 2 questions from my side. The first one is on balance sheet and debt. So very nice to see interest cost is coming down across that deleveraging. Just wanted to get some clarity on how much more of the margin can come down? And what do you think the weighted average cost of debt would be maybe 12 months away from now, if there's any guidance. And I see because the net debt went up, right? So is this because of a cost debt balance sheet optimization kind of strategy or like what's the story here? That's one. The second one is on the order side. When you talk about the new orders coming in, the opportunities, when you're talking to your customers, how are you thinking about FID and especially on the repair and upgrade side, right, on the LNG carriers, it should be quite positive, given there's so many news around more LNG sold out of the U.S. Yes, just these 2.
Hsueh-Jeng Lu: Chris, maybe I'll take the first one.
Leng Yeow Ong: The first question, he was looking at you. So I leave it to you.
Hsueh-Jeng Lu: Looking at my eyes. So on debt, look, I think you have to take a 3-year view on this. I mean, as you pointed out, we -- our debt initially was more in the 6 handle range, then we came down to 5, now it came down to 4%. Partly, this is driven by, of course, the decline in the base rate and particularly here in Singapore. And so that's one component, right? And if the Fed drops the rate, that can also help us. But on spread, I think if you look at our financial performance, the improvement of our credit profile is being recognized by our -- the lenders that we work with. And so that will also help. Exactly what number I can't give you, but I think there's a combination of those 2 factors. And then because we -- as we generate cash, we're also looking at ways to, in particular, pay down debt that's more expensive, right, so that we can, again, reduce that weighted average cost of debt. So right now, we're at 4.4%, and we're really pushing to drive it down further. On your point around net debt, I think of it more as a temporary thing because you would have seen our contract assets went up quite substantially in the last half. And so once we hit the project milestones that's in the contract and then we bill when we collect, you will see that reverse as well. So it's -- I would think of it more as a temporary situation. Chris?
Leng Yeow Ong: Yes. Just to add to that point, I think the center of that is our credit profile and credit profile depends on how we deliver on our promises. So hopefully, when we see the trajectory that we are moving and moving in the right direction, I think that we have certain leverage over it and with the help that we are getting from our partners of banks I think we are working hard at it. I think the treasury team is in overdrive right on that. That's a very obvious thing to improve. Now on orders, especially you mentioned about [ R&U ]. Now our point of view is that I think for the first 6 months, many things had happened. Liberation day trade tariffs, I wouldn't say that it damaged the outlook, I would say that it just created volatility and uncertainty during that point of time. The flow of energy and the flow of molecules although the world is driven by very fundamental demand. The demand profile as we take a look at it, will continue to increase and is continuing to be shaped by the 3 corners, the trilemma that we always mentioned. One is, of course, a transition. I think different geographies will look at different profile of energy need. The other portion will be on energy security. The LNG flow and volatility at this present moment is purely because of demand. and volatility has basically dampened that. The flow will basically be reinstated once we are very clear how that flows from the U.S. and different parts of the world. And that really has dampened during the first half because trade negotiations were going on. And I think there will be a lot more clarity moving forward. And of course, for all our customers in the maritime world, when you are doing that, you will hold and wait somewhat. And also for projects, you will really take a look how it will affect your FID. But largely, the prospect didn't go away. It's just looking at one definite time, right?
Winston Cheng: Okay. Let's move on. Thomas?
Unidentified Analyst: Thomas from Zaobao. The first question is regarding the foreign exchange loss. So I just wonder what's your outlook on weaker USD? And also, do you have any hedging strategies? The second one is I want some clarification on the leniency agreement with the Brazil government. So because we know that in 2022, the then Keppel O&M has already reached leniency agreement with the Brazil government. So just wonder, does the leniency agreement this time covers the misconduct of the then Semcorp Marine?
Hsueh-Jeng Lu: Okay. Maybe I'll take the FX question first. Look, I think the U.S. dollar in the first half came down quite substantially about 5% or so. So as a business that -- where customer contracts in U.S. dollars, we will expect some impact. But to answer your question, we have a very active hedging strategy. You would have seen instead of a $90 million loss that would have suffered without hedging, we managed to keep it to only $28 million. But I think part of this is also because we have a basket of currencies. So we have a U.S. dollar that came down, euro went up, BRL went down, but that's a cost and renminbi stayed relatively flat. So I think all of this means that you have some balancing there. But then when we hedge, we hedge on a net cash flow basis that protects our margin. It won't be perfect. We cannot -- but otherwise, it would be very expensive for us on a run rate basis. And so we manage all the key risks and then we hedge away the major volatilities that you would have seen.
Leng Yeow Ong: On the leniency agreement, I think we have to be clear that it is on distinct entities within the group. The 1 that you brought up is on the ex KOM. That is largely over now. We have ourself monitoring stage with the CGU. And actually, back then, when Excom signed the leniency agreement, we have 24 months of self-monitoring and we submitted 4 reports in there. And they are so far, so good. And I think that because of that, this time around, we have announced that the leniency agreement is purely for the marine site, and we have 12 months of monitoring because for obvious reasons. right now, Seatrium has only one Seatrium compliance approach. So basically, it will be implemented consistently throughout the whole group and in a way, is a proven system today.
Winston Cheng: Okay. Let's keep moving. We have a big online audience today. So let's move on to the questions submitted online. So the first question from Ada, OCBC . She has 3 questions, in fact. First question, your net order book has gradually come off as you execute and deliver on projects. Is this because of the quantum of order wins has slowed with more clients delaying FID decisions, please provide more color on Seatrium's strategy to performing -- transforming pipeline into order book? So that's the first question. Second question is what is the sentiment like on the ground amongst clients? Has caution risen even further since the last time we spoke? And finally, on the third question, on the effective tax rate in first half '25 was elevated at 28%. What is driving this?
Leng Yeow Ong: Okay. Thanks, Ada. I will take the first 2. The first one is on net order book. And of course, it will come down because we have been executing our revenue actually was higher than last year. But order book fluctuates, and of course, it's a function of the number of project wins that we have. So far, when we mentioned that the first half was very answer, I don't think that is a very localized issue. I think the whole world is gripping on what to do. And that's why I want to define that as an uncertainty and volatility. That leads to -- so what is the sentiment that actually drives this. And I will repeat again because it's important concept. Our view and the sentiment on the customers, first thing first is all around energy demand. If you take a look, as I've said in my speech, energy demand continues to grow. You are not only talking about status quo. You are talking about increase in terms of lifestyle, demand and in terms of the data demand and population growth demand, basically, that drives everything. And then, of course, energy demand is defined in different geographies by what is the local policy and governmental policy, right? There will be a mix between energy transition ambition, energy security because it's so uncertain. I would rather see that as an opportunity than a risk because at the end of the day, when we talk about energy security needs and demand needs, there would be very complex projects that are required to unlock energy supply. So it's not just about business as usual today. As you know, the breakdown in trade between the countries that bring in another dimension, which is energy security. And from very first day of our strategy, we have mentioned that our very diverse yet resilient approach to energy transition and demand actually is a big, huge opportunity for us. So sentiment wise, I guess why we are sharing the $30 billion pipeline, our cost number 1 is that our people are really working hard out there in the market. But the more important message that we want to point out is that the sentiment is a reflection of that number, right? Then I'll pass to Stephen on the tax rate.
Hsueh-Jeng Lu: So on the tax, I think this is -- as you know, we operate in multiple geographies. And so in Singapore, obviously, the tax rate is lower than that. But then we have big operations in Brazil, in particular, with the P-Series. So the corporate tax rate there is 35%. And so that's actually the main driver. And then in some jurisdictions that we operate in, we're also tax on revenue. And so that's why the percentage is a bit -- it's higher than what you expected if we only operated in Singapore.
Winston Cheng: Next question from [ Sue Ann ], [ Street Times ]. I noted that the rise in the net profit was 301%, but rise in underlying profit was 16%. Was the difference due to the provisions Seatrium made for the fees that had to pay for Brazil and Singapore authorities this year and last year?
Hsueh-Jeng Lu: No, no. So I think as you look at it, I mean, underlying profit, what's included in there, in particular last year, there was a MH worth. There was a claim that we had and we sort of took that out. And so -- but that is part of a legacy claim situation, right? So I think we have to focus -- we took that out. But then if you look at the numbers, excluding even that, the performance last year, a chunk of it was relating to divestment gains, which is not included in underlying. And then there was also an FX effect. So if you take all that effect into consideration, actually the performance improve quite substantially versus the first half of last year.
Leng Yeow Ong: Yes. I just want to add on there. I just want to bring all of us back to last year, first half when we announced our results I think a lot of comments was around core performance because there were quite a bit of one-offs and the question was quite heated around what exactly is your core performance. So that is why that we are trying to balance that up to show that actually, this half of results mainly is due to the core performance of the projects itself, which gives a very good indication of translation of the projects to results.
Winston Cheng: All right. Moving on to Zhi Wei from Macquarie. Can you detail to us what the puts and takes outside of project margins that can lower COGS and drive higher margins and by when?
Hsueh-Jeng Lu: Okay. Sure. I think this one, you have to -- when I say obviously, work as you work down the P&L, One part is on G&A. You would have seen our G&A as a percentage of revenue went from 4.2% to 3%. But we're not satisfied with just that. As I may have mentioned in meetings with all of you, we are now operating on a single ERP system, right? I mean most of our yards. What that allows us to do is you get better visibility around our costs and making sure that we can take out those. And as Chris mentioned in his speech as well, we are focused now on efficiency. We want to be more productive in our processes. And if you're operating 1 system instead of the 3 that we had before that will allow us to look at the efficiency and take out unnecessary steps in particular, manual handlers. And that, again, will continue to drive down the G&A costs. Then if you go further down, I think I already mentioned about interest costs as our financial profile improves, we will continue to reduce that. Then tax is an ongoing discussion around transfer pricing and what's the best way to do that to minimize the tax exposure.
Winston Cheng: Okay. Let's go on to Pei Hwa from DBS.
Pei Hwa Ho: Sorry, I missed part of the presentation earlier, I'm not sure if the question on gross margin has been asked. I just want to get a sense on the direction. If you could give a bit more -- some color as to how we could think about our gross margin in the second half? I think we did pretty well in the first half, it's good to see margin back to 7 over percent. Yes, I mean, could you just -- there's no other ways to ask this.
Leng Yeow Ong: Yes. I will start by saying we don't give projections. But okay, since you asked for color, it all ties in, right? If you try to map the whole -- all the full exercises, I will call it, and the workflow within what we are trying to articulate to all of you and to the market -- now it's not just -- when it comes to gross margin, of course, the ambition is to continue to deliver better and better margin trajectory. That is a mandate I don't think we'll say otherwise. But the key thing is that what we are trying to do, if this half, we have put up quite a clear direction in terms of what is our cost of debt, what are all the various things that we are doing. First is to increase our costs. That is a major exercise with efficiency with a lesson learned on the projects so that we avoid some of the very sapping reworks on the ground. The series built, and I repeat again, the series built strategy is a very important one because you allow all my colleagues out there in their functions to understand problems way ahead and learn from them. So we will expect improving performance, we have to, right? I think we can't say otherwise again. The next project were the better than the last one. Now all these drive margins -- and at the same time, the finance team are looking at how do you reduce costs, the whole organization is looking at optimizing all our processes, improving productivity to reduce costs. And we are work in progress. As I always said, just barely 3 years into building this company and also delivering a results in such a short time. I think that we all will say that we are well in progress and the ambition is to deliver better results. And if there's any doubt always be guided by the 2028 targets that we have shared. And you can see that we are chucking along steadily towards what we promised the market.
Pei Hwa Ho: All right. I suppose you mean also the 15% gross margin?
Leng Yeow Ong: Okay. I will repeat that again. 15% gross margin is a target and a hurdle that we -- at IC, we would increase that we want to take a look at. And that varies because the risk exposure of each project is very different. So okay, this 15% keep getting us. I think when I walk along the street, I probably get asked. But let's remember, I think compositely the gross profit margin makes up all this so-called 15%. It may not be 15%. Some may be higher, some may be lower because of the risk profile, all right? But definitely, we want to drive, but it cannot be 0 because you have a cost of operation. Right?
Hsueh-Jeng Lu: Pei Hwa, maybe I'll just sort of clarify. I think the 15% or mid-teens rather than we said was relating to project margins. And as Chris alluded to, there are production overheads that cannot be charged to projects. And therefore, you have to sort of work your way down, that will be taken out before you get to the gross margin at the company level. But I think you -- maybe you haven't dialed in at that point yet, but I was mentioning that we are looking at asset portfolio optimization to look at the -- after 2 years of operating as one system, we now have better clarity around where we -- there is excess equipment excess machinery that we don't need. And so we are actively trying to get rid of that. And in order to reduce that the difference between the average of the project margin and then what is the GP margin you see at the end of the day at the company level. So hopefully, that clarifies the different margins.
Pei Hwa Ho: Just 2 more questions. One is on your associate and JV losses in the first half. Do you have more details on this is arising from your JV yards?
Leng Yeow Ong: For the JV, okay. So this one, I think if you look at the '24 1st half numbers, there was quite a substantial amount that was relating to a write-back at one of our subsidiaries. Whereas I think in this half, we don't have that. And then there is some seasonality in the vessels that we own there. And so a few of the assets there are less utilized this half compared to the same half in 2024. Just in that the vessels are not deployed in and therefore, the financial performance is a bit lower.
Pei Hwa Ho: Okay. And then lastly, on your pipeline, any -- this $30 billion that you mentioned? Maybe can you give us possible to share of which -- how much we probably submitted to tender, in the process of tender, yes?
Leng Yeow Ong: All this -- these projects are all under tender and otherwise, it will be -- we will not show those that are still very blue ocean type of chased lease. These are those that have certain visibility, and we will be tendering for them. how much has been.
Pei Hwa Ho: I mean, the tender has the US submitted channel in the process of tender?
Leng Yeow Ong: I don't think we share those details because it's very sensitive.
Pei Hwa Ho: Yes maybe percentage or dollar?
Leng Yeow Ong: I just answered the question.
Winston Cheng: Okay. We have time for one last question.
Unidentified Analyst: My name is Yuan Lin, and I'm from CSI. Actually, most of them already asked the questions that I wanted to ask, but maybe just a continuation like the tax expense, right? So maybe yes, I understand that it's because of heavy works in Brazil, but what -- is there any like guidance like the tax rate sustainable tax rate going forward maybe until like 2027, 2028? And also on the -- just hoping to know on like beyond the EBITDA NRE target, what the key operational metrics that the management is prioritizing now seems like EBITDA target is very close really. And yes, so anything that you guys will try to improve internally?
Hsueh-Jeng Lu: I think on the tax, it's -- it will change season and season depending on where the work is, right? I think in the with the P-Series projects going on, there will be a lot of -- because we have to satisfy local content for those projects. And so when there's fabrication there, the tax rate can be higher -- so it's -- I can't provide guidance exactly what it would be. I mean it's -- each jurisdiction have a different rate. And then like I said, some jurisdictions also tax on revenue. And so there will be volatility there. But I think in that ballpark that we are now is probably the right number given the current portfolio mix.
Leng Yeow Ong: Yes. Your question on are there new targets, we have not reached our target yet. So yes, our Board really pushed the management team really hard. Now when we take a look at the targets that we presented and when we released our 2028 and share them with the market. EBITDA, as mentioned, is a very clear and close indication of we are able to translate project margins across. So that will still always be a very valid focus. ROE, of course, then what's probably something that we are looking and targeting very actively is we have the luxury of looking at NPAT right now. We turned the business around only last year. So NPAT comes in the picture. And of course, needless to say, management has been looking at how to grow that. And then, of course, then that translates into ROE. But just to assure all of you that when we take a look at this very high level type of targets, yes, there are financial matrices. But in order to reach them, there are thousands of targets that we are trying to basically piece together and share with all of you. Execution excellence by itself, every single throughput efficiencies need to be measured so that we understand what's productivity. There's also, of course, taking a look at how our costs will come down. So there's many elements of that, but it all builds up to the same metrics at the end of the day.
Winston Cheng: That brings us to the end of today's results briefing. Thank you, and have a pleasant day ahead.
Leng Yeow Ong: Thank you.
Hsueh-Jeng Lu: Thank you.